Operator: Good day, and thank you for standing by. Welcome to the Alaris Q3 2025 Earnings Release Conference. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Amanda Frazer, Chief Financial Officer. Please go ahead.
Amanda Frazer: Thank you, Tanya. Good morning, everyone, and thank you for joining us today to discuss our Q3, 2025 results. I'm joined on the call by Steve King, our President and CEO. Before we begin, I'd like to remind everyone that all financial figures discussed are in Canadian dollars unless otherwise indicated. Please note that some comments made during this call may include forward-looking statements. These statements are based on current assumptions and involve risks and uncertainties, so actual results may differ materially. For more detailed information on the factors, assumptions and risks involved, please refer to our press release issued last night and the management discussion and analysis under the headings Forward-Looking Statements and risk factors available on SEDAR @sedarplus.com and on our website. We will also be referencing certain non-IFRS financial measures, which may be presented differently than similar measures by other companies. Additional information and reconciliations related to these measures can be found in the press release and the MD&A. With that out of the way, let's turn to the highlight. Alaris delivered a record quarter in Q3 2025, underscoring the consistency of our model and the strength of our partner portfolio, we achieved strong fair value gains, solid recurring partner distributions and expanded our long-term revenue base through capital deployment. Net book value per unit increased 6% from last quarter to $25.10, a record high reflecting $1.90 per unit of earnings and comprehensive income, another Alaris record, which included a $0.41 per unit foreign exchange recovery, partially offset by the $0.34 quarterly distribution. Year-to-date, NCIB repurchases added approximately $0.06 per unit as we repurchased and canceled 465,000 units at an average price of $18.87, enhancing per unit value while maintaining balance sheet flexibility. Total revenue and operating income rose 7.8% compared to Q3 2024 supported by a $47.9 million net unrealized fair value gain across 9 investments, offset by a decline in 2. These fair value adjustments are noncash, but they reflect the underlying earnings growth and continued value creation within our partner base. Partner revenue exceeded guidance coming in at $58.1 million, which included $57.4 million in distributions and $700,000 in management and transaction fees. Fee increase was driven by new investments McCoy and follow-on in Carey, as well as higher-than-expected common distributions. Preferred distributions increased 7.3% in Q3 and 6% year-to-date, totaling $40.7 million and $120.8 million, respectively. While common distributions were, as expected, lower year-over-year. Notably, fleet's $10.3 million common dividend this quarter versus USD 14.7 million last year. The annualized yield on preferred capital remained strong at approximately 12%, highlighting the portfolio's continued ability to generate steady cash flow. Total return on invested capital was 6.6% for the quarter and 13.3% year-to-date, reflecting both strong reoccurring cash yields and improved valuation. Alaris' net distributable cash flow decreased 26% in Q3 and 14% year-to-date, largely due to the notable variability of common distributions, the timing of cash tax payments and transaction costs. Underlying portfolio cash generation remains solid and in line with expectations. Our payout ratio was 48% for the quarter and 50% year-to-date, both below our target range of 65% to 70%. Since conservative level provides flexibility to fund reinvestment and debt repayment, while sustaining unitholder distributions. Alaris generated free cash flow after distributions of $21.9 million in Q3 and $38.9 million year-to-date prior to the NCIB repurchases. In the quarter, we deployed $32.2 million including an initial USD 27 million investment in McCoy and a USD 5.2 million follow-on investment in Carey. Subsequent to the quarter end, we invested an additional USD 20.5 million into Cresa supporting their strategic acquisition. These deployments bring total capital invested year-to-date to approximately $228 million, reflecting continued demand for Alaris' Capital Solutions. Our portfolio fundamentals remain strong, with the majority of partners continuing to deliver year-over-year revenue and EBITDA growth. With a weighted average earnings coverage ratio of 1.5x and 13 of 21 partners maintaining either no debt or less than 1x senior debt to EBITDA, emphasizing strong balance sheets and stable earnings coverage. Looking forward, we expect Q4 partner revenue of approximately $43.5 million. This includes our previous estimate for FMP, although we continue to evaluate the impact of the ongoing U.S. government shutdown. FMP remains well positioned with a surplus of cash on the balance sheet and undrawn senior credit facility. The guidance also reflects lower expectations for GWM, while we continue to evaluate the longer-term impact to the 12-month cash flows and the navigation of GWM's banking covenants. And on that note, I'll turn it over to Steve for his comments.
Stephen King: Great. Thanks, Amanda, and thanks, everybody, for tuning in. Obviously, very pleased with our record quarter that we've just published. As you can see, our portfolio is larger, more diversified and performing better than it ever has in our 21-year history. We've added another $1.50 in book value. Our coverage ratios remain near all-time highs. Debt levels remain extremely low and the nature of our businesses have been largely unaffected by tariffs or inflationary pressures. Having 19 out of our 21 partners performing at or above the expectations is exceptional for any private equity portfolio. Our payout ratio, even with the announced dividend increase remains below our target, leaving more upside for dividend increases in the coming year. Deployment outlook continues to be extremely vibrant. Alaris will shatter our previous record for deployment in this calendar year, and the outlook heading into 2026 remains very strong. Our unique structure, which delivers the majority of our return and low volatility cash payments allows us to be more confident and successful in environments, where traditional private equity, which relies on high debt levels and buoyant exit multiples are retreating. 2026 also promises to be a year, where some of our planned exits are scheduled to begin Alaris investors are already seeing the outsized returns coming from our common equity positions in our book value increases, and we expect to display some crystallization of some of these positions over the next 12 to 26 months and those won't just further grow our book value, but it will also be a huge part of funding our continued deployment into new quality companies. So Tanya, I'll open it up to questions, if you want to take them right now.
Operator: [Operator Instructions] And our first question will be coming from Gary Ho of Desjardins Capital Markets.
Gary Ho: Maybe just starting off with the Edgewater. It's just pretty sizable USD 18.5 million fair value gain. Maybe can you give us an update on kind of some of the contract wins? How does the rate reset look? I know anything nuclear-related trades at a pretty healthy multiples today? Just wondering how you're evaluating the equity piece of that business.
Amanda Frazer: Yes. In the quarter, the contract win definitely played into the increase in value. Also, there was a decrease in the discount rate for that company. It's grown substantially since we initially invested. And with its continued growth in this contract, the business is now triple what it was when we initially invested. So that played into the company's overall discount rate as well as this increased outlook with regards to the contract. Also reset expectations on the press were updated this quarter and that played some role in the go-forward cash expectations and valuation on the preferred shares. I don't know, Steve, you'd like to expand?
Stephen King: Yes. I mean the contract that they won was very much a transformational win for them. This has already been a very successful investment for us, but this new contract has taken that to a much higher level. And there's another contract that they are getting on that would be even larger than that, actually with the same group. So you're right, Gary. I mean, the nuclear space is a great space to be in, both from a defense and from an energy perspective. So it is a very hot space for private equity trading at very high multiples. And with the growth rate that Edgewater is putting up here, and this would be a very, very sought after asset when it eventually does transact.
Gary Ho: Okay. Great. And then on the flip side, I just wanted to hear some comments on the GWM. It sounds like they're impacted by lower ad spending environment in the U.S. Can you provide some maybe outlook for when the turnaround could be? And any debt in that business? Just remind us.
Stephen King: Yes. So I actually spent a day with GWM at their headquarters this week. So I'm pretty fresh on what's happening there, and they remain a very confident group -- they believe that they will pay us in full in 2026. And there have been some -- some pretty fundamental changes in that industry. So macro changes in addition to the economic environment, which you noted, just in the programmatic media space, there's been a few new entrants, including Amazon that has disrupted the space and made people change their patterns. So GWM is very confident that they can kind of adapt to the new environment. They've got a very good backlog of new contracts. And it's really cementing those contracts and continuing to add, but they do have some debt on their balance sheet, not a ton, but they do have some debt. So that always makes us more conservative, when we're dealing with these things in our book value and in our guidance. But certainly, kind of the feeling from GWM management is that they'll be able to pull through this.
Gary Ho: Okay. Great. Maybe I can sneak 1 more in. Steve, it's good to see the recent capital deployment into a new partner and some follow-ons as well. How is the pipeline looking as we kind of sit here today, timing-wise as well, how far along in some of these could you look to transact?
Stephen King: We're very far along in more transactions before year-end. So we do expect to be busy. That's why I made the comment about shattering our previous records. Those are very close by. In terms of McCoy, a new partner, they are a roofing company out of Omaha, Nebraska. Obviously, Nebraska being in the storm belt in the U.S., particularly Hail. So being a roofer in that market is very lucrative a normal roof will last about 20 years in Nebraska. It lasts about 7. So great young management team that is hungry and growing quickly. We've got the best reputation for ethics and how they treat their customers in the market. So we're very proud to be partnered with them, and they're super excited to keep growing. I think this 1 will see not just organic growth, but acquisition growth as well. And once you get up to a critical mass of size, that kind of a company is also going to trade at a very nice multiple.
Gary Ho: Okay. And then just the dry powder at the quarter end, is it roughly USD 150 million out of McCoy?
Amanda Frazer: Yes, I think, we're at about USD 160 million.
Operator: Okay. And our next question will be coming from David Pierse of Raymond James.
David Pierse: Just on GWM, is your increase on core run rate revenue in your 12-month outlook for them? Or is there some...
Amanda Frazer: So we've reflected that there's -- we have our expectations in the payment or in Q4 we continue to evaluate what the additional 9 months will look like. Our expectation is there would be some level of payment over the 12-month period, especially in that later 9 months, first 9 months of 2026, but we continue to work with the company and the lenders to evaluate what that looks like.
Stephen King: Yes. My sense from talking to them is that they may need some short-term flexibility in terms of kind of paying in -- kind for partial amounts for a couple of months. But we'll see how it plays out. But as I mentioned, they do expect to pay in full for the year.
David Pierse: Okay. That's helpful. And then -- to increase the distribution -- last one. I'm curious, what's the change in rationale behind the capital allocation? Obviously, that's the first distribution increase we've seen a few years. So just your thoughts on that.
Stephen King: Yes. We're not ruling out more share buybacks. I think, as I mentioned, we're going to likely see some exits in the coming months, and that will put us in a position to buy back more shares. But we're growing quickly. Our cost of equity is not keeping up with the lowering cost of debt and not keeping up, quite frankly, with the fundamentals of our business. So we thought it would be prudent to increase the dividend at this point. And if you look back at our trading history as a public company, we've always traded above book value until post COVID and pre-COVID we had a very, very set dividend growth strategy. And so, we're going to get back to that and see if that can help the cost of our equity because with our growing deployment. You look out down the road, there may be a situation in the next year or 2, where we might have to raise some equity. And I think having a higher share price and a growth multiple attached to us like we've had in our past is prudent for our investors, if we can -- we can keep on growing as we can, and that's absolutely my expectation.
Amanda Frazer: We've always been committed to increasing the dividend with our growth proportionate to our cash flows. And with -- even with the NCIB, we would remain below that 65% to 70% target. Having our payout ratio dip below, I think we're at 40-some-percent for the quarter, even lower as we continue to grow, just was not in line with our overall business strategy.
David Pierse: Helpful. And then maybe if I can 1 more. Sono Bello, I think stopped paying in time this quarter. It looks like cash flow has improved. What's driving that? Is that better expense management or demand starting to recover a bit?
Amanda Frazer: Sorry, could you just repeat that?
David Pierse: Just on Sono Bello, I think they stopped paying in time this quarter. Cash flow has improved. Just what's driving that? Is it better [indiscernible] coming back? Just your thoughts there, please?
Stephen King: Yes. Sono Bello is doing extremely well. They're well above budget in the last 6 months and setting records. There are new Contour division, which is the breast augmentation that is added on to liposuction and skin tightening and tummy tuck is now doing better than expected. So yes, very good tailwinds there with Sono Bello, and we expect that to continue.
Operator: And our next question will come from Zachary Evershed of National Bank Capital Markets.
Zachary Evershed: Is that -- as we get close to the end of 2025, you're looking at shattering the all-time record for deployments, how are you thinking about deployment guidance for next year, though?
Stephen King: Yes, almost impossible to say. I mean, all I can tell you is that the environment right now has probably never been better. There's a few factors for that. As I mentioned, traditional private equity is in a very kind of tempered place right now, I guess, we'll be saying it nicely. They're not aggressive. A lot of them are having a lot of difficulty raising capital. So we're seeing them having retreated a little bit multiples are a little more same. And the other factor is you'll see us do some Canadian deals here for the first time in 6 or 7 years. And I would also say that the political environment has led to some very good Canadian companies referring to deal with other Canadians. And we're quite proud to be adding some Canadian partners we're proud Canadians. And obviously, that hit home with us. So a few different different things. But in terms of next year, we only have about 3 months of visibility on our deployment. So I can tell you the next 3 months are extremely good, probably the best in our history. But after that, it really will depend on what kind of opportunities we decide to pursue after that. But I'll add on to that because our portfolio is growing. We're just going to have more follow-on deployment as well in '26. We do have several companies that are acquisitive. So I believe that part of our business will continue to grow as well.
Zachary Evershed: Happy to hear it. And then for FMP, you guys previously made reference to about $1.2 million in distributions in the run rate. What's the plan for them these days?
Amanda Frazer: The $1.2 million of distributions remains in the run rate. We collected a small amount of distributions in the quarter from FMP. With the government shutdown, we both concluded that it would be prudent for them to just hold on to that capital until the government opens back up and contracts are back up and running. So we don't expect a change to expectation at this point, but we continue to evaluate how long and the impacts of the government shutdown on both FMP and broader.
Jeff Fenwick: Fair enough. And then for Ohana, how's the membership trending so far in Q4? Is that more of a Q3 story or ongoing?
Stephen King: In terms of the 1 click, yes, it seems to be stable. They're really trying to find the happy ground there to have more new people join because it's easier to cancel versus some people hitting the easy button and canceling. So it was expected that, that would be a short-term phenomenon of people that had a chance now to just click cancel that maybe were too lazy to do it otherwise. And I think that's coming true. In general, we're super happy with Ohana, the fundamentals of that business are very strong. I think we're going to be looking at likely a price increase on the Black Card membership, which is about 2/3 of our members, which will also cycle through over the next couple of years. The acquisition that we did in Michigan is super strong, good synergies there. It's a higher-margin clubs than what we had in the past. And we are seeing some good acquisition -- some other acquisition opportunities there as well. So a really strong investment for us.
Zachary Evershed: And then I think you guys mostly addressed this, but I'll just ask it head-on again. How are you thinking about balancing new deployments versus buying back shares under book value? Are you guys looking at that through an IRR lens cost capital lens?
Stephen King: Yes. It's an IRR lens. The deals that we're doing and the deals that we have are extremely high opportunities. So that's where our focus is, as we have excess capital from exits, I think you'll see a two-pronged approach. But yes, we're adding some very high expected IRR situations into our portfolio. So that's by far the best use of our capital right now.
Zachary Evershed: Could you comment on how recent deal IRRs compared to your historical average?
Stephen King: Well, it's tough to compare because our historical average, we didn't have common equity in the structures. So on our typical prep-IRR expectations, they would be kind of high-teens to 20%. Now with the structures that we have, we're looking at in terms of mid-20s, blended IRR, so 20% on the prefs and typically around 30% on the common. So if not higher. So yes, our return profile has gone up considerably. We don't think our risk profile has. We're still protected by the exact same rates and remedies through our prefs that we always have been -- these are low to no leverage companies with a long track record, and they're choosing us because they want to keep more upside and keep control. So the alignment is much better than any other kind of structure out there. So yes, it's a very good time for us.
Operator: And our next question will be coming from Bart Dziarski of Research Analyst.
Bart Dziarski: RBC Capital Markets. Question around fleet. So a 2-parter here. The distributions were down 30% over a year, and then there was a quarter-on-quarter 11% fair value increase. So can you just maybe help us understand those 2 -- what drove those 2 dynamics?
Amanda Frazer: Yes. The common distribution is always going to be variable. The distribution was within our expectations from basically the forecast from last year. So there was no surprise in that decrease. The previous year, fleet had a significant amount of cash flow on the balance sheet. And a fantastic year overall. The increase in fleet valuation is driven by just the outlook and growth in the business overall as well as there -- sorry, I just...
Stephen King: The one thing I'd say about fleet is and the difference between our prefs distributions that are common is that the pref is very structured and known, whereas the common is completely up to the Board of Directors of each individual company. So fleet, even though their performance is very strong, had other needs for their capital to fund their growth. So the distribution was down year-over-year even though their performance was not.
Amanda Frazer: I'm sorry, I just -- came back to me. In addition to the growth in the business and the forecast driving that fair value increase during the quarter, there was also a small redemption by the company of the final amount of shares outstanding to a founder. We completed a transaction a few years ago, which transfer that business into the hands of management. And as part of that transaction, there was a small redemption right, in the agreement that was exercised and the company repurchased and canceled those shares, which has led to a small increase in our overall ownership and that's also reflected in the fair value.
Bart Dziarski: So was a lower discount rate as well? Or no, that didn't...
Amanda Frazer: Just driven by market factors, so just market movement with overall interest rate and risk-free rate declines, nothing specific to the company's board.
Bart Dziarski: Okay. Okay. Got it. And then -- just a follow-up question around kind of capital allocation. So you're sounding pretty bullish around exits for, call it, the next 12-ish months and funding NCIB. So should we be thinking that the NCIB can also ramp up here? Or -- or is that not the case?
Stephen King: So is the NCIB being ramped up?
Bart Dziarski: Yes. Their share buybacks?
Stephen King: Yes. So no, I think for the time being anyway, in the short term, the focus is really going to be on funding new investments. But yes, I think there's lots of room here for a good mix of funding deployment, NCIBs or SIBs and also further dividend increases.
Operator: Our next question will be coming from Trevor Reynolds of Acumen Capital.
Trevor Reynolds: Most of the questions have been answered. But just in terms of the deployment opportunities that you're seeing here, would these primarily be new opportunities or add-ons?
Stephen King: Yes. We've got some new opportunities in the short term. But as I mentioned, we're -- you can expect some add-ons over the next 12 months as well. We've probably got 5 or 6 companies in our portfolio that continue to be quite acquisitive and have opportunities for us. So it's a great way to grow very low-risk deployment for us. But yes, in the very short term, you can probably expect some new partners.
Trevor Reynolds: Okay. And then it sounds as though the exit timing has maybe move forward a little bit on a few names here just based on the commentary quarter-over-quarter. Is that accurate? Would this be the same names that were kind of previously expected to undergo exits?
Stephen King: Yes, same names. I think ramping things up for the first half of next year in terms of a couple of exits is the game plan. Obviously, no guarantees on that. It will depend on the market environment and the process, but that's the plan. So we're excited about that because we've got some situations that I think will surprise the market on the upside in terms of what kind of returns we're getting.
Trevor Reynolds: Okay. Great. And then FMP, you mentioned returning to payments. potentially next year? Like would that include catch-up payments for those missed? Or is it just kind of starting off at a base level?
Amanda Frazer: No. We had $1.2 million in the outlook for FMP. That amount remains in there. They will return to payments gradually. And as they recover, we can evaluate any catch-up payments. I think there'll be some -- like we did with SCR, just renegotiation of how that catch-up and how those partial payments are scheduled to play out over a few year period.
Trevor Reynolds: Okay. Great. And last one, is there any update on Heritage?
Stephen King: Sorry, on what heritage here -- nothing substantial. They're cash flow positive. They're performing well. We've got our consultant, our former partner that's consulting for us in there, very active almost on a daily basis. The management team is doing everything asked of them. They've just had a nice new contract win, which was super positive. So yes, happy there, but nothing dramatic
Operator: I'm showing no further questions at this time. I would like to turn the call back to Steve King, President and CEO, for closing remarks.
Stephen King: Thanks, Tanya. Thanks, everybody, for your questions and for tuning in. As always, if you have anything further, please contact Amanda and I directly. And we look forward to new news in the near term and another great quarter for year-end. Thanks very much.
Operator: And this concludes today's program. Thank you for participating. You may now disconnect.